Operator: Good day, ladies and gentlemen and welcome to the Nordson Corporation webcast for Fourth Quarter and Fiscal Year 2014. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, today’s conference is being recorded. I would now like to turn the conference over to your host Mr. Jim Jaye, Director of Investor Relations. Sir, you may begin.
James R. Jaye: Thank you, Candis and good morning and happy holidays to all those listening. This is Jim Jaye, Nordson’s Director of Investor Relations. I am here with Mike Hilton, our President and Chief Executive Officer and Greg Thaxton, our Senior Vice President and Chief Financial Officer. We’d like to welcome you to our conference call today, Friday, December 12, 2014 on Nordson’s fourth quarter results and first quarter outlook. Our conference call is being broadcast live on our webpage at www.nordson.com/investors and will be available there for 14 days. There will be a telephone replay of our conference call available until December 19, which can be accessed by calling 404-537-3406. You will need to reference ID number 38856478. During this conference call, forward-looking statements maybe made regarding our future performance based on Nordson’s current expectations. These statements may involve a number of risks, uncertainties and other factors as discussed in the Company’s filings with the Securities and Exchange Commission that could cause actual results to differ. After our remarks, we will have a question-and-answer session. I’d now like to turn the call over to Mike Hilton for an overview of our fiscal year 2014 fourth quarter and full-year results and a bit about our first quarter outlook. Mike, please go ahead.
Michael F. Hilton: Thank you, Jim and good morning everyone. Thank you for attending Nordson’s 2014 fourth quarter conference call. Nordson’s global team continue to meet our customer needs at the highest level and delivered record fourth quarter sales, operating profit and earnings per share. I am particularly pleased with the 13% organic sales volume growth we delivered in the quarter compared to the same period a year ago. This growth was broad-based across all segments and geographies. Operating margin in the quarter was 23%, two percentage points higher than the prior years fourth quarter and diluted earnings per share grew by 23% compared to the fourth quarter a year ago, the rate significantly outpacing the strong top line growth. Free cash flow in the quarter was strong and from a balance sheet perspective we remained very liquid with significant capacity for appropriate capital deployment. We continued to create value for our shareholders through our balanced approach to capital deployment. During the quarter we closed on the acquisitions of Avalon Laboratories and Dima Group to expand our positions in medical and electronic end markets. We increased our annual dividend and we continue to prudently invest in the repurchase of Nordson’s shares. Our Board of Directors recently authorized a new $300 million share repurchase program effective December 16. We will provide more details on our share repurchase activities later in the call. For the full fiscal year, Nordon’s set company records for sales, operating profit and earnings per share, while executing on a variety of strategic initiatives that will help sustain our success. Full year organic sales growth was 6% compared to last year, relatively strong performance against the weak macroeconomic environment. Looking ahead our current backlog and order rates are solid leading us to expect the solid first quarter inline with normal seasonality of our business. I will share additional comments about our current business trends and our near-term outlook momentarily. But first, I will turn the call over to Greg Thaxton, our Chief Financial Officer, who will provide more detailed commentary on our current results and our first quarter guidance. Greg?
Gregory A. Thaxton: Thank you, and good morning to everyone. Sales in the quarter were $469 million, an increase of 14% over the prior year fourth quarter. This sales improvement included a 13% increase in organic volume, a 3% increase related to the first year effective acquisitions and a 2% decrease related to the unfavorable effects of currency translation. Looking at sales performance for the quarter by segment, Adhesive Dispensing segment sales volume increased 9% as compared to the prior year fourth quarter. Organic volume growth was 7% and the first year effect of the Kreyenborg acquisition added growth of 2%. We generated organic growth in every product line led by strength in disposable hygiene, polymer processing and general product assembly end markets, and in every geography with the exception of the Americas. Sales volume in the advanced technology segment increased 28% over the prior year fourth quarter. Organic volume growth was very strong at 21% and the first year effect of the Avalon and Dima acquisitions added 7% growth. The organic growth was robust in all of the segments product lines in electronics end markets, demand for our automated dispensing, test and inspection, and surface treatment equipment was driven by a diverse set of applications in mobile devices, advanced semiconductor packaging and automotive electronics. Demand also remained very robust in our medical and industrial end markets, where we continued to see excellent growth in our semi-automated dispensing systems and single-use fluid management components. Geographically this segment delivered double-digit organic growth in every region with the exception of the United States. Sales volume in the Industrial Coating segment increased 16% compared to the fourth quarter a year ago. The growth was driven by demand for our cold material dispensing equipment in automotive and industrial applications, coating equipment for food and beverage can applications and UV curing equipment for electronics applications. The U.S., Europe and Asia-Pacific regions drove the segment growth which was partially offset by software conditions in Japan and the Americas. Gross margin for the total company in the fourth quarter was 55% equal to the level delivered in the prior year despite a higher mix of system revenue were systems comprised 60% of revenue in the current quarter. Operating profit in the fourth quarter was a $106 million an increase of 22% over the prior year and operating margin was 23% as Mike noted an improvement of two percentage points over the prior years fourth quarter. Looking at operating performance on a segment basis, Adhesive Dispensing delivered operating margin of 25% in the current quarter. On a normalized basis to exclude non-recurring costs in both years operating margin in the current quarter was 26% compared to 27% in the same period a year ago the difference largely attributable to product mix and the negative effects of currency translation. For the full year the Adhesive segments operating margin in fiscal 2014 was 26% equal to the level of a year ago an inclusive of a full year of the Kreyenborg acquisition. Within the Advanced Technology segment operating margin was 26% in the fourth quarter an improvement of five percentage points as compared to the same period a year ago. On a normalized basis to exclude non-recurring costs the current quarters operating margin within this segment was 27% up six percentage points over the prior years fourth quarter. The improvement reflects our ability to leverage increased sales volume and ongoing continues improvement efforts. In the Industrial Coating segment operating margin was 22% in the fourth quarter an improvement of five percentage points over the same period a year ago. This is outstanding performance for this segment which generally has a higher mix of larger dollar, lower engineered systems than the other segments. The improvement over the prior year’s fourth quarter reflects our ability to leverage increased sales volume and our continuous improvement initiatives. Continuing down the income statement, net income for the quarter was $72 million and GAAP diluted earnings per share is were $1.13 an increase of 23% over last year’s fourth quarter. As in previous quarters we've included an earnings per share reconciliation schedule in our press release to reconcile between GAAP earnings and normalized earnings per share to exclude certain one time items. On a normalized basis that is to exclude one time items in both years. Fourth quarter earnings per share increased 24% over the prior year’s fourth quarter. The current quarter’s EBITDA was $123 million up 20% as compared to the same period a year ago. Cash flow from operations in the fourth quarter was $105 million and free cash flow before dividends was $90 million an increase of 46% over the year’s fourth quarter and free cash before dividends was 124% of net income reflecting very strong cash conversion in the quarter. We included a table with our press release reconciling net income to free cash flow before dividends. We continued our balanced approach to capital deployment during the quarter investing $72 million for the repurchase of shares distributing approximately $14 million in dividends and closing on the acquisitions of Avalon Laboratories and Dima Group B.V. From a balance sheet perspective we've remained very liquid with net debt to EBITDA at 1.8 times trailing 12 month EBITDA as of the end of the fourth quarter and we have approximately $167 million available from cash in our current revolving credit facility. As we announced earlier t this month, Nordson’s Board of Directors approved a dividend for the first quarter of fiscal 2015 and authorized a new $300 million share repurchase program effective December 16. As of today, we will have nearly exhausted a $200 million authorization from August of 2013 where approximately $2.7 million shares have been repurchased. We expect to maintain our disciplined approach to repurchases, offsetting the dilutive effect of benefit programs first and buying additional shares opportunistically. We will use the pricing grid within a 10b5 repurchase program, whereby we will not repurchase shares over a certain share price. Over the last four fiscal years, we have repurchased app $414 million or 11% of Nordson’s outstanding shares at a discount of approximately 28% compared to our October 31, 2014 fourth quarter closing price. I’ll provide a few comments on our full year results. Sales for fiscal 2014 were record $1.7 billion and increase of 10% compared to fiscal year 2013. This increase included a 6% increase in organic volumes, a 5% increase related to the first year effect of acquisitions and a negative 1% impact related to the unfavorable effects of currency translation compared to the prior year. Full year operating profit was $367 million, net income was $247 million, and GAAP diluted earnings per share were $3.84 all of which are full year records for Nordson. On a normalized basis to exclude non-recurring items in both years diluted earnings per share for the year were $3.88 compared to $3.38 a year ago and increase of 15%. Full year EBITDA was $427 million, a 12% increase over the prior year and free cash before dividends was $245 million or 99% of net income again reflective of strong cash conversion. Dividends paid in fiscal 2014 were $48 million and shares repurchased under the repurchased program were $164 million. I’ll now move on to comments regarding our outlook for the first quarter of fiscal 2015. As we typically do, we’ve provided our most recent order data both on a segment and geographic basis with our press release. These orders are for the latest 12 weeks as compared to the same 12 weeks of the prior year on a currency neutral basis and with the Avalon and Dima acquisitions, included in both years. For the 12 weeks ending December 07, 2014, order rates are up 10% as compared to the same 12 weeks in the prior year. Within the Adhesive Dispensing segment order rates were up 1% over the last 12 weeks as compared to the same period in the prior year. Strength in rigid packaging, disposable hygiene and general product assembly end markets was offset by mixed demand in other end markets. In the Advanced Technology segment, order rates over the latest 12 weeks are up 23% compared to the same period in the prior year. Demand remains strong for our automated dispensing equipment supporting diverse applications in mobile devices, advanced semiconductor packaging and automotive electronics. Demand was also strong for fluid management products related to medical and industrial end markets. Within the industrial coating segment, the latest 12-week order rates are up 18% as compared to the prior year. Orders were strongest for cold material dispensing systems, supporting automotive and general industrial end markets. On a geographic basis, total company orders were strong in Asia Pacific, Europe, and the U.S. and softer in the Americas and Japan. Backlog at October 31, 2014 was approximately $223 million an increase of 6% compared to October 31 of 2013 and inclusive of 4% organic growth and 2% growth due to the Avalon and Dima acquisitions. Backlog amounts are calculated at October 31, 2014 exchange rates. Let me now turn to the outlook for the first quarter of fiscal 2015. We are forecasting sales growth to be in the range of 5% to 9% as compared to the first quarter a year ago. This range is inclusive of organic growth of 6% to 10%, 3% growth from the first year effective acquisitions and a negative 4% impact related to the unfavorable effects of currency translation. At the midpoint of our revenue forecast, we expect first quarter gross margin to be 55% and operating margin is forecasted to be 16%. We are estimating first quarter interest expense of about $4 million and an effective tax rate of approximately 30% resulting in first quarter forecast and GAAP diluted earnings in the range of $0.60 per share to $0.70 share inclusive of a $0.01 per share charge related to the step-up in the value of acquired inventory. The midpoint of this range for diluted earnings per share represents an increase of 20% over the prior years first quarter. In addition, this first quarter outlook for following fiscal 2015 full year data points maybe helpful for modeling purposes. For our effective tax rate we are forecasting the full year rate to be about 30% based on current tax law. For capital spending in 2015 we are forecasting normal maintenance capital spending to be between $45 million to $50 million slightly lower than 3% of 2014 sales. In addition, we estimate approximately $20 million in capital expenditures associated with our previously announced investment for a new facility in Colorado supporting our fluid management product lines. In summary, our global team delivered record fourth quarter and full year results and our outlook for the first quarter of 2015 is strong given the current macroeconomic environment. With that, I will turn the call over back to you, Mike.
Michael F. Hilton: Thank you, Greg. Before taking your questions, I would like to provide some additional comments on our recent performance and outlook. First I want to thank our global team again for their hard work their commitment to our customers and to continuous improvement propelled Nordson to an excellent fourth quarter and another record year. At the midpoint of our first quarter guidance, we are expecting organic sales volume growth of 8% over the prior year’s first quarter. We expect to leverage this growth to deliver improvement in operating margin and in earnings per share as compared to last year’s first quarter. From a broader perspective Nordson’s future remains very bright as we begin fiscal 2015. While the short-term trajectory of the global economy is hard to predict, our long-term strategy remains the same. We are focused on delivering top quartile shareholder returns over the long-term by growing and extending our high-value business model focused on precision dispensing and adjacent technologies. That model includes leading technology, extensive applications know-how and unparalleled global support and service. Our specific priorities for 2015 are extension of our recent efforts, clear and straight-forward. First is to drive organic growth, our goal remains to outpace global GDP. Next is a continuous focus on innovation this includes products and processes. Third, we aim to further improve and integrate recent acquisitions. In addition, our acquisition pipeline remains robust and we look to add additional pieces to the portfolio as well. Fourth, we want to further ingrain continuous improvement the other Nordson’s Business System. And finally, we continue to enhance our leadership and employee development initiatives. Overall the many applications we touch everyday give us a great opportunity in the years ahead. Nordson’s global team remains committed to creating the best customer experience and helping our customer succeed. We expect to be continuing to provide excellent returns for our shareholders over the long-term. At this time, let’s turn to your questions.
Operator: [Operator Instructions] And our first question comes from the line of Joe Radigan of KeyBanc. Your line is now open.
Joseph K. Radigan: Thank you good morning guys.
Michael F. Hilton: Good morning, Joe.
Joseph K. Radigan: Maybe let’s start with Advanced Tech, how much of the organic growth in the quarter there and maybe some of the strengths in your order growth is coming from new products. I know you talked about, that the inline ex-rate product you thought that could be pretty significant over time are you seeing significant uptick in that or can you maybe bucket around mobile traditional backend in the other niches where you are seeing growth in Advanced Tech?
Michael F. Hilton: Yes, maybe I’ll start with last point first Joe. Mobile continues to be a strong part of the equation, but we did see some significant uptick in the quarter and certainly in the order rates in terms of advanced semiconductor packaging and quite frankly with the general improvement in the auto market we're seeing more and more electronics go into their and a lot of our applications around things like conformal coating support that auto market and then we've seen some increase in other niches as well. So its starting to be a bit more broad based at least in this recent quarter and with the orders than maybe it has been over the last year and a half. You will see if that’s sustainable but that’s certainly an encouraging sign and kind of inline with what folks like Gartner are starting to predict for next year. As far as new products, we have a number of new products coming out this year, but we have some traction with some new dispense products in the electronic side of things. I think we mentioned last time, we got our first order in terms of the new wafer inspection tool, we expect another one to come through here shortly and we have nice prospect list that should fill out the rest of the I guess the year. And of course we are adding capability to address the tiering side of things in that business with expanding our capability in Suzhou and quite frankly the Dima acquisition is a product line extension for us that will give us a mid-tier product to support that activity. And then finally in that area, our medical business is doing really well, we're expanding our product lines, we're getting good traction with those expanded products lines and our core EFD business has also been very solid both in electronics and in the general markets. So a pretty good story all around at this point a little different than the beginning of the year.
Joseph K. Radigan: Yes, okay. And then in industrial coatings, I mean a very impressive margin performance there kudos to Doug and his team there, but how much of that is mix versus productivity improvement, favorable raw materials, I know one you - that that’s a volume based business and then sort of going forward orders were up 18% for the second quarter in a row. What's the typical order to that conversion time there, do you expect that strong order growth to carrying that revenue growth into the first quarter, because which is typically seasonally slower.
Michael F. Hilton: Yes, so a couple of things, as you know the industrial coatings teams have been working hard over the last few years to drive continuous improvement and prove the overall cost performance of that business not only on the sort of current day-to-day activity, but as we introduce products into the marketplace and so it done a really nice job there and like all of our businesses there is good volume leverage and we’ve saw an extraordinary large quarter, probably $8 million to $10 million higher than anything that we’ve seen before, that’s on the strength of things like strong auto, some appliances they’ve activated in the U.S. a good container recapitalization business. And then going forward the orders continue to be strong in those areas as well as a couple of others, the typical lead times for those systems related businesses are longer than most of our businesses as they are in that sort of way to 12-week timeframe, but obviously they factor into our expectations in the first quarter.
Joseph K. Radigan: Okay, and then maybe lastly for Greg, corporate expense was a little elevated in the quarter I am assuming there is some deal cost in there from the acquisitions that you did, but how should we think about the run rate going forward for corporate expense?
Gregory A. Thaxton: Yes, I think the run rate that we think about fiscal 2015 will be in that $40 million range similar to what we saw in the fiscal 2014.
Joseph K. Radigan: Okay, thank you guys.
Gregory A. Thaxton: Thanks, Joe.
Operator: Thank you. And our next question comes from the line of John Franzreb of Sidoti. Your line is now open.
John E. Franzreb: Good morning guys.
Michael F. Hilton: Good morning, John.
John E. Franzreb: Just going back to Advanced Tech. Mike it sounds like the growth here is more coming from maybe in new market opportunities in automotive rather than a major shift in custom product development time in mobile. Is that the case or you might not hearing this correctly?
Michael F. Hilton: No, I would say we’ve had this quarter and the order rates look like a more balanced portfolio than maybe saw on the last quarter or two where mobile is the primary driver. So the Auto business globally has been improving for a number of years and what you’re seeing is an increase penetration of electronics type products into auto and that’s started more recently to translate into capacity. And so as it translates into capacity we see some opportunities and I mentioned conformal coating that’s just one application where we support that activity. So I think that’s good and then on the mobile remains strong and everybody is trying to come up with wearable products that we’re seeing some opportunity there. And I think as we mentioned last time we started to get some traction penetrating the Chinese mobile market, it’s early and it’s not a 100% clear what degree of automation that will go to, but we got our first orders there. So that’s encouraging as well.
John E. Franzreb: Okay.
Michael F. Hilton: Just it’s not to loose track, it’s not all electronics. Our general industry fluid management, the components business has been strong and the medical business has been particularly strong. So right now there is a nice balance, a little bumpier earlier on as the mobile waves come through, but in this latest quarter and the near-term it’s a little bit more balanced.
John E. Franzreb: Right, I mean that’s kind of how I figured it, that’s how the business would be more steady state, but the variance would largely come from what we’re seeing in mobile and having mobile strong this time of year, it seems counter intuitive to me? Thanks.
Michael F. Hilton: Yes, it’s a little bit different than just the phone launches, because there are a whole bunch of people trying to do more, more wearables, so we’re seeing some orders from that as well. But the more traditional advanced semiconductor packaging, we started to see that tick up as well and as I mentioned Gardner's forecasting a pretty robust year for next year, it’s never a 100% correct, and then some of those local Chinese wins are helping a bit so.
John E. Franzreb: Okay, fair enough. And in Adhesive dispensing, it sound like in your press release that the polymer processing business was again improving for the second consecutive quarter, but the margin profile may suggest that’s not the case, its by [X] is still a drag can you just walk us where we are in the recovery of that business?
Michael F. Hilton: Yes, I would say maybe I’ll just touch on the overall margin piece for adhesives first and then I’ll answer the second part of that question. The overall margins for adhesive in the quarter were impacted by two things. One currency, without currency on a normalized basis would be flat year-over-year. We also took a bit of a write-off as we wound down part of our historical web coating business in Europe. And so those two things impacted the margin in the short-term currency first, and then that write-down and that’s with a greater mix of systems versus parts in general and a greater mix of sort of things like nonwovens product assembly and the polymer area that tend to be more systems oriented and say package much tends to be more components. I would say if you look at polymer processing, right now the injection molding end markets are solid, film side of business is still sluggish and still a drag. In general I would say the slowdown in Europe, the slowdown in China, the slowdown in the Americas are not helping that from a order perspective, because it’s really impacting the capital expenditure side of things, and on a demand side it’s not chewing up the capacity fast enough. So that’s still a little bit of drag on the film side, the injection side is pretty solid.
John E. Franzreb: Okay. And one last question since you opened the door. Greg could you kind of walk us through the currency impact on the P&L. Just some of the puts and takes we should be cognizant of given the recent moves in the year on the Yen.
Gregory A. Thaxton: Yes, what you see in the quarter and clearly that’s embedded in our guidance for the first quarter is the translation effect primarily Euro and the Yen. And so in the current quarter as Mike mentioned we’ve got a heavier exposure within the Adhesive Dispensing segment, so X the currency effect we would have been neutralize Mike mentioned to prior year and in the current quarter it was drag on EPS by about $0.04 per share. Now when we guide to currency impact of 4% on the top line for the first quarter, we’ve provided some modeling that kind of coordinate between the percentage impact on sales and percentage impact on prior EPS and so. We see that to be, kind of mid cents to high single-digit cents per share impact in the first quarter that’s kind of our rule of thumb that we use and we include some of that on our investor presentation.
Michael F. Hilton: Yes, so if you look at sort of 1% revenue hit, you might be rule of thumb 2.5% on the earnings side.
Gregory A. Thaxton: Right.
John E. Franzreb: Perfect. Thank you very much guys. Thanks for taking my questions.
Operator: Thank you. And our next question comes from the line of Kevin Maczka of BB&T Capital Markets. Your line is now open.
Kevin R. Maczka: Thanks good morning.
Michael F. Hilton: Good morning, Kevin.
Gregory A. Thaxton: Good morning, Kevin.
Kevin R. Maczka: Can we - again going back to Advanced Tech considering the deals that we’ve just done here the Avalon and the Dima and the growth rates that we’ve seen in all these various components Mike and can you size for us where that mix spend now in terms of mobile and auto and fluid management medical some of the big buckets there. What is the mix look like now?
Michael F. Hilton: Yes, if you look at the sort of the total segment kind of - roughly half of it would fall into what we call our systems business and that’s electronic systems business as largely electronics and about half of it would fall in two more of the component or semi-automated side of things, which have a bit of electronics overall in it.
Gregory A. Thaxton: And that’s what we refer to as fluid management.
Michael F. Hilton: That’s what we refer to as fluid management. So roughly sort of half and half, within fluid management side of things we have electronic piece we’ve got a general industry piece and we have a medical piece. The medical piece is growing, probably next year we’ll be somewhere in the range that’s $70 million, $80 million $100 kind of range on the medical piece alone. The general industry pies is a broad based set of applications, everything from materials that are packed and filled that go into caulking applications to, herbicide, pesticide, dispensing to a variety of different manufacturing activities largely related to sort of plastic components. On the electronics side, we're still more heavily weighted to the mobile, going back several years it might have been a third mobile, a third components sort of mixed markets and if they are sort of traditional semiconductor packaging, its considerably more skewed to the mobile. So it’s probably closer to 50% or so, but we're seeing here more recently is that more traditional packaging piece starting to come back. We've seen a few starts and stops before people are a little bit more optimistic right now, if that’s going to continue and we're certainly seeing orders in those areas like advanced semi-packaging and some of the traditional packaging. And then we're also supply components that go into a variety of different devices, a lot led by mobile, but some others and the auto piece is really - that’s a big MINS type market, you know where you are taking electronics signals and converting to mechanical actions. So you could thing about - almost nothing is mechanical these days, completely in terms of wire linkages and things like that its all electronic signals to final endpoint. So that’s growing, we see that particularly where auto is strong in the U.S. in Europe and quite frankly even in china now as the auto market grows there. So still weighted to the mobile side, but some of those other things are coming on, hopefully that will sustain it so.
Kevin R. Maczka: Okay great. Shifting back over to adhesives margins, I guess if I understood you right, currency was the biggest drag there in the quarter that will be an issue we face as we go into 2015 as well, I’m just wondering, I know you don’t guide the full year, but it seems like it will be hard to grow adhesive margins even with some volume leverage from organic growth here if we still got that currency headwind unless I guess the mix dynamic gets much better. Is that kind of a fair way to directionally think about that?
Gregory A. Thaxton: I think its going to be, who knows where the currency is going to go, I mean I don’t know that anybody predicted the sort of dramatic change recently here in the Yen and the Euro, but if nothing change from where we are today we probably have another quarter or two of impact on a year-on-year basis that will create a headwind and we’ll challenge the margins particularly in that business. It’s not exclusive in that business, but if you look at the size of that business in Europe and if you look at the size of the business in Japan and quite frankly we haven’t talked about, but it’s the nice part of the business in Brazil and all of those are under pressure and so - that’s probably at least another quarter or two of impact if nothing changes. Now, if the Europeans get aggressive with quantitative easing approach and help do something to boost the sort of the economy there that may change, certainly the Japanese are trying to figure out what to do, but it’s not obvious that changes in the next quarter and maybe it’s another quarter or so beyond that we would see that impact and yes that would be helping.
Kevin R. Maczka: Got it and just finally from me just from a macro standpoint with Europe soft, China slowing, Japan in recession you had very strong order numbers in both Europe and Asia-Pac and I guess Asia-Pac is probably explainable by the strength in Advanced Tech. Can you just speak to the Europe portion in the plus 10 order number there?
Michael F. Hilton: Yes, so part of that is a function of the market segments we are in on the particular products. So we are seeing some - quite frankly and surprisingly we are seeing a good order book even though the economy looks like it’s struggling. So each of the businesses are pretty strong. The coating business we’re still seeing some strong activity on the container side of the business and on the auto side of the business, those two things are solid, on Advanced Tech, in Europe it’s mostly related to those auto type applications and some other back in packaging. On adhesives, we do export out of Europe to other countries for things like nonwovens and so forth, because there is large OEM base there, so some of it where benefiting from that. And quite frankly in the very short-term there are some projects that have come through that maybe more timing than anything else, so there is a little bit of a bump there from timing. But clearly in a number of our businesses we’re taking share as well. So there is a variety of things there that make that look a little different than what you would expect given the softness as you described.
Kevin R. Maczka: Yes. Okay, great. Thank you.
Operator: Thank you. And our next question comes from the line of Mark Douglass of Longbow Research. Your line is now open.
D. Mark Douglass: Hi, good morning gentlemen.
Michael F. Hilton: Hey, Mark.
Gregory A. Thaxton: Hi, Mark.
D. Mark Douglass: Greg, if there are any significant, well first of all do you expect any significant investments going into 2015, I mean like you did in 2013, you had some new products, you are investing heavily in, say tech, anything we should anticipate for 2015 and taking that into consideration if we still saw kind of a mid single-digit organic growth here. What kind of incremental margin should we apply in a range to 2015?
Michael F. Hilton: Yes, on your first question, incremental to 2014 I wouldn’t see anything to call out with the exception on as I mentioned the CapEx side where we’ve got the completion of the facility in Colorado. And let me just comment and I’ll let Greg answer the rest of those. So on new products we do have a lot of new products coming in, but I’d say they are more in the normal course of business rather than the step outs like particularly the wafer project that we talked about last year.
Gregory A. Thaxton: Yes, then on the incremental margin, markets it’s going to - it now gets to what we talked about in a mid single-digit organic, it’s where by segment what’s the mix impact of that going to be. What are going to be the growth drivers of that total top line growth? If you look at what we delivered in the fourth quarter here on a normalized basis, it was about 36%, normalized incremental margin, of course we’ve got the currency impact that’s having an impact on the margins embedded in there. So a tough question to answer without knowing what’s going to be the driver of the top line growth.
Michael F. Hilton: Yes, I mean and if you look at sort of historical let’s currency side, the coatings business just by the nature of that business being all engineered systems with a lot of buyout, incremental margin in those businesses tend to be in the sort of, pick a number 30% kind of range plus or minus. Advanced tech a little bit better, adhesive is generally considerably better, but as we said that’s where the currency impact is going to effect us. So overall in a sort of non fluctuating currency market somewhere in that 30% to 50% depending on the mix is what we would expect, currency is going to weigh on that.
D. Mark Douglass: Okay, and looking at adhesives again, good, good, very good growth in 2014 with 6% organic growth. Can you talk about what, whether some more significant end markets were that drove that, you mentioned market share can you peg how much was share gains or if you think the different markets grew at how much was it freedom. Is that material yet or is that still trying to gain traction.
Michael F. Hilton: So if you look at it in the packaging - really in packaging nonwovens and product assembly they were all good. I would say this year we saw probably more of a step up in the nonwovens and the product assembly area which tend to be bigger ticket items and packaging was solid. So you know the nonwovens are things like you know the consumer non-durables like diapers and incontinence products and feminine hygiene products. And the product assembly is sort of construction, construction related activities as well. And then we saw an up tick you know also in the polymer side with both in the sort of the palletizing stuff that came with Kreyenborg and then the general sort of injection side of the business there. There is a share element to all of these businesses as we continue to direct introduce technology. I would say that’s not the biggest driver of things. And then I would say freedom and then freedom in liberty combination we’ve probably delivered where we thought we are going to be from a revenue and profitability standpoint not quite where we thought we were going to be on the unit side of things. I think we are encouraged by what we see there but you know one of the things, that’s a little bit of gating items that we talked about is the new adhesives that we are going to increase the mileage and were more difficult to melt are still not readily available, and this has to do with some things in the ethylene supply chain. You know all the suppliers are saying next year we are going to see those, but they said that we are going to see those this year. So I’m not trying to throw those guys under the bus, its just they don’t control the full supply chain and there are some other issues upstream of them that are impacting that. So I’d say revenue and profit wise we were on track and that contributed to things. But I think we also did well in the emerging markets with our tiering products. So we’ve done really well in particularly on the adhesive side with our tiering products. So…
D. Mark Douglass: Okay and then the mix with nonwovens products, product assembly growing a little faster than packaging that explains that’s when you are talking about the mix impacting the margins?
Michael F. Hilton: Yes, those tend to be - yes so if you look at the most components sort of only looking types of things are in the packaging side and as you go to nonwovens and then certainly the products assembly, you have got more of a partial system type sale there that tend to be good margins, but lower than the packaging margins.
D. Mark Douglass: Right and you said parts were about 40% of sales.
Michael F. Hilton: Yes, they were about a percent or so higher systems than parts year-over-year.
Gregory A. Thaxton: Right.
D. Mark Douglass: Okay, thank you.
Operator: Thank you and our next question comes from the line of Christopher Glynn of Oppenheimer, your line is open.
Christopher Glynn: Thank you. Good morning.
Michael F. Hilton: Hey Glynn.
Christopher Glynn: So a set of question about the acquisition pipeline and wondering how much of your kind of focus in pipeline is in that medical component space and what your expectations might be there?
Michael F. Hilton: Well we like the space, the acquisitions that we made, prior to this past year have had nice double-digit growth as we've continued to penetrate the market, expand the product line, the little product line acquisition that we bought from Covidien and exceeded our expectations this year. We really like the new business coming in with Avalon that gets us more broadly into cardio and pulmonary type of services. And as we've said in the past, it’s a pretty fragmented market in terms of the folks that make a number of these and particularly sort of plastic oriented highly engineered components that go to the big OEMs and that’s the place we like to be and so there is still opportunities out there that run the gamut of just a simple product line extension to something that’s a little bit bigger and maybe even a little bit bigger than the acquisitions we made today from a revenue standpoint. So we're working a list there, we like it, we like the opportunity to consolidate, the new facility in Colorado is not only helping the medical business, but some of our other EFD businesses. With Avalon, we've got a manufacturing capability in Mexico that we’ll likely expand and take advantage of that for more of our assembly type operations. So we feel good about that and the opportunities that are out there, timings never ever clear and necessarily win everything you look at if it ends up being an auction.
Christopher Glynn: Okay thanks for that. Do you ever think much about hedging on the FX side?
Gregory A. Thaxton: Chris this is Greg, hedging for us on FX side is we were trying to anticipate where our source of foreign revenues would be. Its challenging to forecast that and then to do anything to hedge it can create quite a bit of volatility in the P&L if you are wrong. We do hedge some of our inter company volumes where it’s more - there is more surety around those volumes, so we do some of that, but to try to get in front of hedging the third-party revenues I’d be concerned about the volatility that that could create in the P&L.
Christopher Glynn: Okay. And then lastly you’ve had a nice string of quarters of good growth at ADS and then the last two quarters pretty flattish on the orders, we think that that might level out on organic for while here or you see that same positive on the organic for fiscal 2015?
Gregory A. Thaxton: Well, our overall sort of long-term view to that sort of businesses 5%, 6%, 7% kind of growth, last year 2013 it wasn’t much growth, this year we saw pretty nice growth. I think as far this comes down to what do you think the macro assumption is. Our view is this year global GDP is probably going to come in at a little over 2%, 2.2% or something like that 2.3% or kind of anticipating next year it looks similar, so we should get some leverage over and above the GDP, but again that business on a revenue line will be impacted by the currency in the short-term. So we think we can grow that in a multiple of GDP, we don’t think next year is going to be super robust I mean the U.S. looks strong, but every place sales doesn’t look stronger than this year unless something turns around in Europe and Japan, which could happen with policies, but we’re not any better than anybody else forecasting that. So we should outpace the GDP I think where some of the things like nonwovens and product assembly here into more of an investment cycle than on day-to-day sort of operating upgrade and improvement cycle and that can very year-to-year depending our people, where our people are. So we saw a good year this year, I think the U.S. we expect to see strength going forward, China we think we’ll pick a not at the rates that maybe it’s been very mostly about Europe.
Christopher Glynn: Great. Thanks for the color.
Operator: Thank you. And our next question comes from the line of Allison Poliniak of Wells Fargo. Your line is now open.
Allison Poliniak-Cusic: Hi, guys good morning.
Gregory A. Thaxton: Hey, Allison.
Allison Poliniak-Cusic: Just back on the comments about freedom I know you said at adhesive is one of the reasons that volumes haven’t necessarily picked up, but is there any concerns on competitive reaction holding that volume down?
Gregory A. Thaxton: No, we placed hundreds of units out there end markets plus through OEMs and our liberty product was the next sort of tiered opportunity geared more at the OEMs, so if you went to packaging show in Chicago, you would be impressed with just this last Monday you would be impressed by what you see on the OEM side of that. So now from a competitive standpoint we have good competitors out there. We do think we have the best model of the combination of technology and service out there. As we talked about the past part of this is a function of what’s these overall riding benefit here and when is the last upgrade that our customer basis have gone through. So we between sort of the last major product launch in this one we didn’t stop, we were out selling feed systems and upgraded nozzles and dispense equipment, and so somebody just bought that combination, they are not going to be ready to buy it right now. So big driver was sort of the higher mileage, adhesives. So what that means? Is useless adhesive for the same bonding properties and they are just not available yet. So I’d say we did pretty well as I said on revenue where we expected and profit probably where or better than we expected, line was little short, but it’s not competitive issue.
Allison Poliniak-Cusic: Great. And then I guess just broadly speaking a lot of positive momentum heading into 2015, whether region or businesses is there, anything I guess overly concerned about at this point for next year?
Michael F. Hilton: I don’t know that I would say overly, but if you think about where we’re at right now, the U.S. looks strong and looks like it’s continuing to get strong, that’s good for us. Europe has gone backwards at the moment, wasn’t blockbuster this past year, and it’s going backwards, so we’re not seeing that in our order rates yet, because of some of the markets that were involved within and doing well. I think China will be, okay, but it’s at the new normal, so it’s not that sort of double-digit kind of growth that you saw. Asia, outside of China, doing pretty well. Japan is going to struggle this year, Latin America is not going to comeback. So I’d say globally the mix will look different, but that’s why we think it’s going to be a sort of a modest growth. Quite frankly in a short-term the biggest concern is the currency side of that and particularly given the dramatic moves in the Euro and the Yen. And we bypass that later in the year, it’d be great to see some monetary fiscal policy out there that would help modify that before we get out to say the third quarter or so.
Gregory A. Thaxton: And we’ll certainly do what we can on pricing actions and others to try to mitigate some of the impact of currency, but we’ve recognize it that’s a headwind.
Allison Poliniak-Cusic: Great, thanks guys.
Michael F. Hilton: Yes.
Operator: Thank you. And our next question comes from the line of Charlie Brady of BMO Capital Markets. Your line is now open.
Charles D. Brady: Thanks good morning guys.
Gregory A. Thaxton: Hey, Charlie.
Charles D. Brady: Just a clarification on the parts mix that 40% is that companywide or that’s Adhesive Dispensing?
Gregory A. Thaxton: Yes, that was total Charlie. Adhesive Dispensing as we’ve said in the past the segments are kind of they pretty much overlay that total company, on any given quarter adhesive might tend to be a bit more in the parts then total company, but all the segments are very close to that total company number. Yes in my comments Charlie I was just year-over-year adhesives probably 1% more systems than parts.
Michael F. Hilton: Yes, and it was.
Charles D. Brady: Okay all right so that obviously had at least some impact on the margin as well…
Michael F. Hilton: Yes, it does.
Charles D. Brady: I just want to go back and look at the Adhesive Dispensing orders in the quarter just so I understand it a little better I mean 1% this quarter zero last quarter. How much of that is a currency headwind, you’ve framed in terms of kind of global GDP. But that would obviously be below global GDP. So I am wondering how much of an impact really the currency has hit you in this quarter or something else going on that’s maybe a headwind to that orders?
Michael F. Hilton: Yes, I would say it’s not really a currency issue from that order perspective. I think really what we are starting to see things are things like, if you look at certain economies and what’s going on mainly outside the, outside the U.S. And a little bit, Americas for example are soft, Japan we saw an impact pretty sizeable impact here from an order perspective and even a little bit in the U.S. which could be timing related issue. So not overly concerned with what we’re seeing there because it would be just timing year-on-year.
Charles D. Brady: Okay thanks.
Operator: Thank you. And our next question comes from the line of Walter Liptak of Global Hunter. Your line is now open.
Walter S. Liptak: Hi, thanks good morning everyone.
Michael F. Hilton: Hey, Walt.
Gregory A. Thaxton: Good morning Walter.
Walter S. Liptak: I want to ask you kind of touched on this already, but and maybe just to frame at this way with the organics last year at plus 6% in your 2014. it looks like heading into this year things are a little bit slower, what's the tone that you are getting from customers in terms of like budgeting for 2015 and if it is a little bit more cautious and we're going to expect organics, something lower than 6%. Is there something you do to mitigate, is there a cost focus or is that some kind of restructuring, you mentioned Avalon and taking to the manufacturing kind of into Mexico. I wonder if you can just address that cost side.
Michael F. Hilton: Yes. So just to clarify, coming into the year at least with for the first quarter, the kind of mid-point of our guidance is about 8% organic. So still at least the start is reasonably solid and from a customer perspective in Europe I would say across the businesses sort of the prospect was bid activity, dialogue is considerably more encouraging than the macro number that you are seeing from an economic perspective. I would say if you go to a place like Japan we've got project activity there, but it’s not quite as robust if you look at it. So that’s a little bit different. I would say if you look at China, solid cross prospect list and good expectations, but you know they are at a new normal. So we think that probably looks a little bit like this year or maybe even slightly less than this year from a macro standpoint, so it’s kind of a mix. On a global GDP basis, we're still expecting a two plus number, I think if you went back a couple of three months, people might have expected a three plus number that wasn’t our expectation. So we kind of look like next year is like this year. So on a volume basis we would expect volume growth, on a revenue basis we are going to see some impact at least in the short-term unless something changes on the currency side. From an overall cost perspective, we have a pretty robust continuous improvement plan, we've got a number of things that we're working on across all of the businesses from the day-to-day activity that embrace in our Nordson business system to some project activity. So we're constantly focused on that. In the earlier part of the year we can respond pretty quickly and the earlier part of this year when things were a little bit soft, we did also some restructuring in certain businesses to lower our cost base and that’s played out in improved earnings and margin as the volume has come back. So we could respond pretty quickly, we look at things pretty closely. The Avalon addition or benefit we got with the facility in Mexico and we probably will expand that facility both because of the demand and then the opportunity maybe bit of optimize our supply chain. It is a good thing that we’re looking at across our other businesses as well in terms of improving footprint efficiency and supply chain efficiency. So there are opportunities there, but in a short-term - we go into every year starting off cautious still we see the line and kind of play out, we are encouraged by the pretty solid order rates we see across the businesses right now, but we are concerned in particular Europe and Japan I’d say, even though in Europe we are not seeing that right now, Japan maybe we are seeing that right now.
Walter S. Liptak: Okay, just to clarify so what you’re hearing from your customers, what you’re thinking about is something similar in terms of organics for 2015 versus 2014?
Michael F. Hilton: Yes, I’d say that global mix is maybe a little different maybe stronger in the U.S. then it was last year, but I’d say even the European across most of our businesses European customers are pretty optimistic. That said from a macro, if you look at our business model is strong, our market focus is strong we’re going to win the battle most of the time, but we float on the general economy. So we’re not going to be impervious to what’s going on in the general economy. So your guess is as good as mine as how Europe, Japan plays out whether anything comes, where the Europeans can get together and drive more growth there, whether the Japanese latest plan can improve things. I think China will manage their growth and will see that and benefit from it and outside of China and Japan and Asia we see a pretty robust and positive set of expectations from the customer base there. So it’s a mixed bag a little bit different than a mixed - then last years sort of mixed bag kind of our expectation is similar growth, if we see more we’ll benefit from that, if we see less we’ll adjust from a cost perspective.
Walter S. Liptak: Okay, it sounds good. The U.S. part of it is the mix, the margin mix better in the U.S., is there more adhesives or if the U.S. strengthens here, what do you think the margin mix will looks like?
Gregory A. Thaxton: I think as they continue to strengthen we might see more systems in general to the mix, and so certainly if you look at the sort of orders, order rate going into the first quarter, we’ve got really strong orders is our coatings and technology business and software and the adhesives to start. So that mix doesn’t necessarily help the margin, but we would expect adhesives to pick up as the year goes on.
Walter S. Liptak: Okay, got and all right thanks for that and with the accelerated share repurchase, is there a preference that you are signaling for acquisition or repurchase over acquisitions or is that just that you’ve got the cash flow and you can do both.
Gregory A. Thaxton: Well, we have a balanced program out there and I think we’ve talked a little bit in the past about our priorities. I mean number one to support organic growth, number two to continue with the dividend approach and we are getting up into that 20% range, but we would like probably get a little bit higher in the mid 20, so we keep pushing that. The number three would be to find the right kind of acquisitions, but we have no control over availability and timing, although we’re working it, right. And number four to be opportunistic on the share repurchase and we always want to have a program in place, so we can take advantage of it. I mean if you just look in this last quarter, we’ve had some fairly loud movements for this where the stock dropped back into the upper 60s and we were buying much more aggressively as part of our program when that happened. So we always what to have the ability out there to take advantage of market movements and it would seem that at the moment maybe volatility is picking up.
Walter S. Liptak: Okay, got it. Okay, thanks very much guys.
Michael F. Hilton: And Candis we probably have time for one more question and then we’ll have to sign off.
Operator: Thank you. And our last question will come from the line of Liam Burke of Wunderlich Securities. Your line is now open.
Liam D. Burke: Thank you. Good morning Mike. Good morning Greg.
Michael F. Hilton: Good morning, Liam.
Gregory A. Thaxton: Good morning, Liam.
Liam D. Burke: Mike, Nordson Business System’s is a big push of one of your strategic focuses could you give us a sense of the progress, your continuous improvement initiatives, plans have made in the polymer acquisitions?
Michael F. Hilton: Yes, so if you look at overall the Nordson Business System, there is probably 6 to 8 areas of focus that we have and that’s everything from new product development to the overall supply chain that would include sourcing, manufacturing, distribution and logistics to things like sales force effectiveness to pricing and segmentation, a variety of things like that. I would say we’ve made good progress on the polymer side on things like, pricing I would say we’ve made reasonable progress in terms of improving sort of the supply chain aspects of it. So think about that as sourcing and manufacturing. The biggest benefits as we’ve talked about there will come from overall optimization of the supply chain. And then levering the organizations together and those are the ones we also said would take little bit longer. We are doing some things right now to facilitate that supply chain optimization and over the next couple of years that should play out. And then from an organizational standpoint you know it comes down to how do we align sort of behind the front lines the engineering side of things and then we continue to work through the direct versus, distributor versus agent approach there. And so those things have the biggest impact so those are still to come. So I would say good progress today we need more volume to translate that into bigger benefit and then couple of bigger things are going to take another couple of years probably.
Liam D. Burke: Okay. Great. With the Colorado springs facility at capacity, obviously the necessity to build a new facility was there, but Mike are there any other economic benefits are going to get from the new facility medical facility in Colorado?
Michael F. Hilton: Well, we continue to that - for that to be sort of our state-of-the-art in terms of the highest level of automation. And so as we build out, not only to support demand we are likely to include the capability to manufacturer other products there and preclude some investments that we need to make and say other EFD type facilities and be able to do that there in a more automated way so we’ll get some benefits from that. And then in the combination of now having this capability for some labor intensive aspects of the business the with Mexico facility, we’ll optimize where we do, the sort of more highly automated activity versus where we do more manual activity. So there is some combined benefits there, but we go we keep going to more sophisticated capability on these facilities. So an example maybe a 16-cavity machine becomes a 32 or 64 cavity machine where you are sort of doubling, triple or quadrupling the output those kinds of things.
Liam D. Burke: Great. Thank you Mike.
Michael F. Hilton: Okay.
James R. Jaye: Okay. So this is Jim. I want to thank everyone for attending the call. And I do have time today I do have some calls today but please get in the queue if you have follow-ups. I am also around next week and glad to take questions throughout next as well. So thank you everyone and very happy holidays to you. Thank you.
Michael F. Hilton: Thank you everyone.
Operator: Ladies and gentlemen, thank you participating in today’s conference. This does conclude the program. And you may all disconnect. Have a great day, everyone.